Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q4 2018 Quarterly Activities Report and Market Update. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I'd now like to hand the conference over to your first speaker today, Mr. Shaun Verner. Thank you. Please go ahead.
Shaun Verner: Thank you, and good morning, everyone, and welcome to Syrah Resources fourth quarter 2018 update. During the call, I'd give you an updated view on the market and pricing for our natural graphite from Balama. With me on the call today are David Corr, our Chief Financial Officer; Julio Costa, our Chief Operating Officer; and Nova Young, our GM, Investor Relations. So I'll go through the slide deck provided with today's release and I do note that it's a little more comprehensive than the standard quarterly update given the additional market information. Looking at Slide 3; I wanted to begin by recapping our progress in 2018, our first full year of operations at Balama. Our safety record continues to strengthen with a total recordable injury frequency rate of 0.3 as of the end of 2018 versus 0.8 as of the end of 2017, a great improvement. We also achieved ISI Certification for health safety and environment in May 2018. Despite some ramp up in optimization challenges, Balama has established itself as the largest graphite producer globally with production of over 100,000 tons in 2018. Julio, our COO, commenced in June and has driven greater confidence into the operations and has implemented a comprehensive production improvement plan which is well advanced and he will give some insight into that later on the call today. The mining agreement was finalized by the Government of Mozambique providing clarity and stability over the laws governing Balama through the course of the year. We have global sales contracts established for all major regions and used segments including traditional industrial and the high growth battery sector. We sold and shipped over 70,000 tons for the year. We became the first major exporter of graphite into China which is significant as they are the largest producer and consumer of natural graphite, and where the majority of demand growth is expected to come from in coming years. Spot sales were successfully converted into material sales agreement of 2019 which we announced late last year and we still have additional sales contracts under negotiation and rollover contracts that we expect to renew in this coming year. On the Battery Anode Material strategy, we acquired a site in Louisiana, installed our first line and achieved first production of unpurified spherical graphite in Q4, and we're well placed to achieve first production of purified spherical graphic late in Q1 2019. Testing and benchmarking work which was completed early in 2018 shows that Syrah BAM products demonstrated equivalent electrochemical performance to Tier 1 competitive products allowing for market entry. We also have completed Phase 1 of our commercial scale BAM feasibility study and carried our third-party engineering review of the 2014 Vanadium Scoping Study, both of which provided encouraging outcomes warranting progression and further work. Overcoming the challenges of last year our production and supply chain achievements have shown that we have the capacity and the full potential of the asset available. Our focus this year is the consistency and instability through methodical continuation of our ramp up. As a result, improved production consistency in recovery, grade, product mix and in supply chain logistics will be key enablers for us to further develop our sales book and our progress this year. Recent customer feedback and inbound queries are starting to show more of a sense of urgency from the market highlighting the potential material increase in demand for Syrah's high quality product in both, the flake and the BAM markets. Moving to Slide 5 and looking at Q4 in particular; the Balama operation produced 33,000 tons of natural flake graphite in the quarter leading to 104,000 tons for the full year of 2018. Graphite recovery improved to 70% in the quarter against 53% in Q3 with a pick daily rate of 90% recovery achieved. We successfully produced 98% fixed carbon grade across all the size fractions in the coarse flake circuit using our standard flotation process. Despite the good ramp up in production following the resumption of the primary classified unit repairs, production in December was a little below plan resulting in an excess production run rate and save on cash operating costs, not quite meeting our expectations. Improvements in Balama inventory management and supply chain logistics contributed to an increase in sales and shipments of 37,000 tons in Q4 versus 20,000 tons in Q3 with an additional 20,000 tons allocated to sales orders awaiting shipment at Nacala at the end of December. The Q4 weighted average price was slightly below Q3 due to product mix being impacted by higher sales of fines and I'll go into pricing in some more detail later in the call. Our BAM strategy continued to progress very well with the installation of the first spherical line at Vidalia, the first production of unpurified spherical graphite. Phase 1 of our commercial scale feasibility study looked about 10,000 tons capacity and modular expansion, up 40,000 tons capacity with encouraging results, particularly around operating margin. In finance, we ended the year with $77 million cash and we declared commercial production at Balama with effect from January 1, 2019. Moving to Slide 6 on sustainability; in addition to our strong safety performance our regular environmental monitoring program continued in line with other 200 license conditions with no significant incidents during the year. On site, 96% of Balama's direct employees, and now Mozambican nationals with 55% from the local host communities really driving our strong relationships in country. During the year we implemented a malaria screening program to proactively identify individuals who may be carrying the malaria virus but have been being yet to present with symptoms. In the fourth quarter we spraying nearly 3,000 people on-site resulting in 130 malaria cases being averted and almost 100 work days recovered. I'm also pleased to advise that the construction of the Balama Professional Training Center has been completed, and we've enrolled and inducted our first intake of students. Moving to Slide 7 and an overview of operations; despite the incident of the fire damage, the primary classifying unit in early October, we successfully replaced, installed and commissioned the new unit. Production rate [indiscernible] November with a stable ramp up that shapes. During the repair period, we successfully ran and bypassed and brought forth some up migration and planned maintenance work. As we've noted, graphite recovery improved to 70% in Q4 versus 52% in Q3, and we've achieved some days of 98% recovery and continue our plan to achieve these result more consistently. The product mix for full year production was approximately 80% fines and 20% coarse flake. With a combination of the operation of attrition cells and optimization we've produced our first 98% fixed carbon grade graphic as well. Production in December was below plan due to some equipment interruption that reduced ability which has now largely been resolved. Since then the ongoing implementation of our production improvement plan has then had our highest ever wake of production in January, and we're really starting to see the benefits of the plan come through. And I'll now hand over to Julio who will discuss some of the production improvement plan in more detail. Julio?
Julio Costa: Thanks, Shaun, good morning, everyone. If you please move to Slide number 8. I'd just like to recap a little bit, when I started my role as COO in June, the first task was to conduct a deeper dive into operations. From this review and together with the onsite team we have established a very systemic approach to improvement, not only process and equipment but also associated with identification of our issues and opportunities, all the ramp up and implementing those. That plan as Shaun mentioned was established and the majority of action had been implemented which led to major improvements in many areas including our production capability. As we've now been operating this very unique and largest graphite processing facility during 2018 and as we move in 2019 I can clearly say that we understand much better that the characteristics of our ore and also how to process it. We're also increasing our understanding of equipment lifecycle as we're testing the limits of the plant methodically, and also increasing the capabilities. We're adjusting the maintenance and getting that better understanding. So those chief improvements have already delivered strong Balama production improvements to-date and now we are moving towards the Phase 2 of that improvement plan. That Phase 2 was developed already and will support a very strong ramp up for 2019 with an increased production. This plan uses proven and well understood techniques although adapted and fit for purpose to Balama reality. This Phase 2 includes further actions to continue increasing our recovery; for example, small modifications in our secondary driving system to increase it's usage and also continues improving in the floatation and liberation. For example, installations of all the process control screens in the field, as to allow for a faster operational response to viability. On that a quick note, we implemented new roster on-site that suddenly brought much more consistency from shift to shift; given that now we move from a changing crew every 2 days to changing to every 15 days which allows much better operational continuity. On the equipment side, even though we understand equipment is much better, the 2019 plan involves an increased vigilance on equipment management given the high usage that are required in our plan. This plan includes the implementation of a clear ownership and expertise, resources allocated to each one of the critical equipments and a much better integration with operations via equipment care requirements for operators. In addition to that we are revamping our conditioned monitored program to get more benefits from that predictive maintenance. Just going back to the fire; the primary plus fire that happened in October that was absolutely unacceptable to us. It actually was in a moment we were in a very good improvement trends in Balama; so we've done a very quick and safe recovery and we put enhanced systems in place to avoid repetition of a situation like that. That does include a steep change leadership visibility on slide, not only in terms of numbers of interactions but also the quality of interactions and ways to improve that. But in addition to that the new equipment management in the Phase 2 with the extra attention to details will contribute to increased governance on those major equipments and then reduce risk of future disruption. During the start of 2018 we have proven also the capability to achieve benchmark high grade material both 97 above 98, and we also accumulated data around all the technologies [ph] and the behavior of the material in the processing plants. That data has formed the foundation for us to put action in place in our Phase 2 production improvement plan to allow for an increased proportion of cost rate. On the product handling and logistics, we have implemented structural changes to focus on better connecting the planning process in Balama with the marketing planning but also creating a more efficient structure on the ground to improve truck loading and bag movements. We have actually demonstrated capacity to load and move bags and above of 800 bags a day. Due to our consolidated in December 2018 and is delivering good results. The 2019 improvement that we'd include further improvement in the planning system, integration between operations, and also streamline further with higher volumes in 2019. Managing very efficiently related to the mines [ph]. I'm starting to be very confident in the Phase 2 of our improvement plan which involves the right structure and strategy and process to deliver our commitments for this year. Thanks, Shaun. Back to you.
Shaun Verner: Thanks, Julio. So moving onto Slide 9, sales and marketing. From our ongoing process reviews and actions we achieved a significant reduction of inventory at Balama mine site, an improvement in supply chain logistics which contributed to a stronger quarter for graphite sales and shipments with record volume shipped during December. And I should note that cash received from sales generally are on about 30 days post ship sailing. The weighted average price received in Q4 was slightly below Q3 due primarily to the product mix being impacted by higher sales of funds. Overall, pricing for coarse flake graphite increased in the quarter and we continue to achieve a grade premium for higher fixed carbon content. As mentioned we produced 98% coarse flake and it's worth noting that the majority of 98% material producer around the world of which there is not a lot requires some form of purification, whether it became chemical or thermal. So there is significant value in used advantage of reduced asset usage, higher energy efficiency and lower environmental footprints for our product as we seek this higher carbon content product to market. On logistics the significant progress we've made along the supply chain has seen record daily outcomes on product dispatch from Balama, customs clearances and port deliveries achieved during the quarter. As with my comments earlier on daily maximums of recovery in production, it's really now a matter of achieving these outcomes on a consistent basis as we know the compatibility exists. Looking quickly at BAM, Slide 10 illustrates the points we made earlier on BAM noting first production and next steps. And then shows the initial production of the unpurified spherical graphite from Vidalia. We're really excited I think at the customer and supply chain interest being generated by our progress and what that's leading to in terms of discussions in the market. We understand this is a key area of interest for the shareholders and we'll provide further detail on the evolution of those discussions and the strategy in the coming months. Looking at Slide 11 on Vanadium; our review with the third-party engineering consultant showed that revised project estimates are likely to resolve in higher capital between the estimates from 2014 to 2018 but due to our potential for lower operating costs using the original assumption of power connection. We then took a simple assumption of substituting diesel power in order to assess an earlier and higher likelihood scenario given the electric build out in the grid at the moment which does lead to higher operating costs from the original study, noting of course that options for energy sourcing across the whole Balama operation in future will continue to be very reviewed. Despite the potential higher capital and operating costs under this scenario and financial assessment using conservative long-term price forecasts provides an attractive financial case and important similar detailed project assessment in the next phase. Additionally, a number of potential capital reduction and prices flow-shade [ph] optimization opportunities were identified during the review, and we will look at this we moved to see court approval to move to a formal PFS. During the quarter we also commenced sampling of old vanadium in the Balama graphite plant prices through the tilings in preparation for a metallurgical test work program. So I wanted to turn now to some more detailed comments on the market recognizing that it has been some time since we've given a comprehensive update into our views on the market and that will lead into pricing and some guidance for the current period. So start, let me outline some of the fundamental market views that underpin what we see is a very positive outlook. So on Slide 13 we set these up. On the supply side we believe theoretical maximum supply capacity whilst hot the natural graphite might be around 750,000 tons but current output is only around 450,000 tons, even with a very strong demand picture showing that high cost and operational issues continue to constrain Chinese production with causes such as environmental controls grade and mining limits. Syrah's additional supply makes the incremental demand required from the global graphite market in the short-term. On the demand side, while still it remains the predominant demand driver currently, [indiscernible] demand the natural graphite is showing and set for further significant growth as the demand for EBs [ph] and energy storage begins to move from niche markets to the main stream. And prices will definitely reflect these dynamics. In the natural graphite funds markets, as China moves from a net exporter to a net importer, we expect process for funds to reflect a structural change in the global dry plug. In the coarse flake market, local supply of larger sized flake material remains limited but it's also important to recognize that the total market size is smaller and slower growing. We expect prices in the coarse flake market to remain firm in the short to medium-term. In BAM, Syrah expects process to support a high quality natural graphite spherical product but encoded to reduce total anode and battery costs on blending with synthetic graphite. Moving to Slide 14 and having a look at the lithium ion battery supply chain build out. There is two major point takeaway from this slide. Firstly, both inside and outside of China, what I make strategies are increasingly are [ph] towards faster development of electric vehicles; and the manufacturing plants and plant development are reflecting that shift. Secondly, electric vehicle battery production and production capacity is growing very quickly, and starting to allocate with order make and manufacturing location plans outside Asia. With electric vehicle production likely to go pass 2 million units styles in 2019, and a growth rate of almost 70% year-on-year, penetration rate is approaching 2% and has exited their forecast globally, and importantly, penetration in China is now around 4%. Looking at the supply side, for natural graphite on Slide 15 we see that a major supply transition is underway as Syrah's production increases, that the product quality and impurities are also increasingly differentiated. We see available operating supply capacity in pricing from around 860,000 tons to almost 1 million tons in 2019. Though our Chinese supplier will see things being limited but our capacity utilization and the issues we identified earlier, particularly at high cost operations. Syrah is the primary source of incremental global supply along with some growth in medic ask and production. China supply is expected to moderate driven by great decline resource depletion in environmental controls. Now China supply understanding has improved significantly again this year driven by on the ground analysis and increased industry interaction. The wide range of China supply estimates in the wider market continues to challenging industry analysis, and waits a capacity utilization quality and great differentiation as the key in this analysis. There is potential for base price downside risk if China supply increases, and mostly, some new production we see; at the moment this is primarily replacement production for closures and we see that the concentrate grade of new production is challenged with quality differentials becoming increasingly important. Also, we say that there is no additional major supply induced within or outside China before 2021 and the progress of the ex-China Project Pipeline has been very limited over the last year. On Slide 16 looking at demand drivers; our demand outlook is very positive for natural graphite. We see annual demand growth of 9% to 12% over the next three years. Still -- it's still the largest sector with relatively flat growth, with lithium-ion battery driven growth in the transport sector is expected to be around 40% per annum over the next three years as a big penetration move towards 5% to 6% driven primarily by China. VHS demand becomes a major growth area post 2022 but does start to provide strong growth of also around 40% CAGR from a low -- but it's over the coming three years. So what does that mean for natural graphite demand? Looking at Slide 17, the base case demand we provide is natural graphite both is around 270,000 tons over the coming three years, almost all of which is natural graphite funds, great quality on both grade and impurities becomes an increasing differentiator. This view obviously supports Balama reaching full production on-demand growth only but it's really important to understand that we're also seeing earlier substitution in market share gains from the quality differential and from the requirement of buyers for alternative sourcing. Whilst also large spike growth exists, it's also important to note that this this the a smaller market and Balama's incremental production is expected to fully satisfy demand growth in the course-like markets over the coming couple of years. Even with our full capacity scenario in Alice's analysis highlights multiple market balance outcomes. The wide of those market balance scenarios demonstrates significant potential for global deficit between 2020 and 2022. The major factors influencing the market balance through this period are on the demand side, AV sales obviously, the energy capacity of lithium-ion batteries, and the natural graphite proportion in the anode. Most on the supply side scenarios are driven by environmental pressure and grade decline in China, and the likelihood of any new major Greenfield supply. Looking at Slide 18, probably one of the most important aspects of the analysis. Trade flows, the high quality natural graphite funds driven by lithium-ion battery demand are expected to drop China from an export to a net import position over the coming year. Historical prices in another commodities illustrates this as being a catalyst for strong price support and product differentiation. So looking at pricing which is obviously a major area of interest over the last year and looking forward. It's important to not firstly that whilst demand has been growing strongly, it's taken longer for the battery NAV markets to grow and we envisage the time that the Balama investment decision was taken a number of years ago. Accordingly, the supply demand balance is being driven by product characteristics, as well as market growth. And market entry pricing as a result been somewhat more challenging in China than anticipated. The very wide price range we take across by funds and flight to-date reflects the execution of our marketing strategy to grow our customer base by product-type, [indiscernible] sector and geography. The natural graphite markets broadly delineated between both, on flake and between Chinese is domestic and ex-China process at this stage because the markets have not yet fully intersected. We have achieved strong penetration of our large flake products into the ex-China markets and have focus our attention on the funds market into the lithium-ion battery supply chain in China given the enormous growth potential for this market and in establishing a vice position. As we've done so, we've found funds process in China have been lower than we anticipated; now it's taken some time to determine how much of this differential was truly market based versus the function of Syrah being a new entrant in the market and the third major exporter to China; but we now have a much stronger view around them. Syrah's weighted average or basket process is driven primarily by volume and product mix which is the cost like versus funds like soil inspections [ph]. And it's also influenced by carbon grade and delivery location. Our weighted average price from the first year production was further influenced by qualification shipments and mixed size and great specifications. Externally reported natural graphite prices as most people know are not consistently defined across size fraction, across carbon grade or across delivery location and price reporting methodologies are not widely communicated. And that's there is not a centrally accepted clearing process and we are not comparing our price realization to an index at this point in time. Looking in particular what that means for [indiscernible] and moving to Slide 20. The marginal pricing funds timely is determining in the Chinese market. And Syrah has entered the Global Funds market, disconnected processing between China and the ex-China has been apparent. Crosses, ex-China reflecting the incentive 20 process for China to explore. Broadly, coarse flake process in China are fairly similar to the rest the world given the relative supply demand balance. Noting that fish market in lower growth rate and a smaller part of the overall flake market. Currently, the Chinese domestic funds market is in surplus and China remains a net exporter of natural graphite, plus the marginal pricing imported ton into China; in some instances must initially compete with the ex-VAG domestic funds price on a transport parity basis until quality, reliability and conformance value and these differentials are established and the market balance too. Syrah has in 2019 established significant Chinese base market position in both coarse and flake. And as we've previously noted in other commodities when Chinese demand increases driven by quality and value in use, that becomes an important driver for the volume demanded and prices to respond accordingly. As first major exporter to natural graphite to Chawner [ph] and the world's largest high grade producer therefore very strongly placed benefit from growth in the funds market with an established customer base in both battery and the industrial markets. Looking at price expectations and we're talking purely about Q1 expectations here for 2019. We expect to say weighted average price of between $500 and $600 a tonne driven in part by the carryover of lower priced contract tonnages from 2018 on funds and a higher proportion of bonds currently being produced and driven into the Chinese market. Our weighted average price is expected to increase throughout 2019 and we're very positive on the potential for weighted average price improvement over both, the short and medium-term. As old contracts fall away, as the product mix increases from 20% or 30% coarse-flake, this great optionality sees us push higher grade material and extracted premium for that into the market. And as greater volume reliability and value news driven differentiation becomes more and more important to pricing, particularly in the battery driven markets. Additionally our regional split normalize and continue to move towards markets where Syrah provides an important strategic sourcing alternative to existing Chinese supply. And ultimately the greatest driver with be the ongoing growth in domestic China is consumption, and they shifted the high quality funds from net expert to net import balance. It's also important to note that the China's domestic process are not the process at which we sell it at outside China where the incentive price is higher to attract the margin term. We believe that the price outlook shows great promise around these 5 or 6 key pricing factors with upside potential in all of them. Moving to Slide 23 and looking at what all this means to have continue to ramp up and run the business this year. I think it's important to note that what we've learned tells us that the integration of sales and operational planning in this market is absolutely critical, and the current unit cost price trade-off off is a significant driver for 2019 production and the guidance around that. Obviously, our outcomes are driven by the balance between our sales process and our unit cost. And with process somewhat softer in funds than anticipated the investment decision; this is brought into the shop relief [ph]. Our plan for this year is based on driving unit costs down but structurally in true volume increase, both maximizing our realized sales process outcomes. So we'll drive unit cost decrease through increasing the production volume, the plant design and the cost base is optimized beyond around 70% capacity utilization at Balama, and we therefore seeking to get to a run rate of around 20,000 tons per month in a logical but it's not production [ph]. We recognized though that there is potential price decline risk if production ramp up is unconstrained, and will therefore seek to manage our production increase, particularly over the first half. At the same time we'll fix drive product realization improvements through improving our product mix and grade. Our regional split end as we negotiate new contracts. The production ramp up should therefore be seen in two contexts; firstly, pursuing a cash flow positive operating environment as soon as possible through unit cost decrease. And secondly, ensuring that market signals drive additional high quality supply through to incentive pricing and generating a price realization increase. We should not that a lot of our contracts are priced quarterly and as a result we see the benefit of potential closer around there. Our production ramp up profile built incrementally on 2018 performance and does not rely on any major shift in the right of the improvement that we saw in Q3 and Q4, excluding the fire interruption obviously. And volumes in 2019 will increase from half-one to higher half-two. We'll seek to continue selling down some of the slightly higher than anticipated inventory in which we made good progress slide in Q4. Ultimately we're trying to manage our impact on the supply demand balance and manage the tension between providing some market guidance on both price and production, both not negatively impacting our commercial negotiations, noting that we are one of the only publicly listed producers currently having a significant impact on the overall market balance. The profile we have adopted in our plan moves, our operational cash flow positive target out to early Q2 which David will discuss in a moment, but it also has a super focus on improving the overall cost profile in significant opportunity to increase our price realization. So in summary, looking at our production and sales outlook for '19, on production we're forecasting between 45,000 and 60,000 tons in Q1 with a continuing uptick in recovery as we move forward through the year trending towards our target of 88%. Our production target for 2019 is approximately 250,000 tons; but as I've stressed earlier, this will be driven by market conditions and our unit cost price balance. We ended 2019 with a coarse flake ratio of 20% to 80% funds against a longer term target of 30%, and we will be seeking to improve that through the production plan this year. We start the year with cash operating cost of $550 a ton driven by the slightly lower profile in production ramp up from Q1. But volume state is pushing towards $400 a ton through the course of the year, towards the end of the year. We'd say Q1 process as I stated between $500 and $600 a ton on a basket price basis but with a clear set of drivers to push higher using both internally controlled factors and what we expect to see in the market. And over the longer term, we expect that to drive beyond that range. On Slide 25 and some great comments on our projects outlook in BAM; we continue the work on commercial scale feasibility, we're immediately focused on net part on capital efficiency opportunities and the commercial and product development options around that. Our unpurified and purified spherical graphite production will focus initially on customer qualification, and on product development and then targeting their first sale of unpurified material and potentially purified spherical graphite in the second half of this calendar year. We will continue to pursue strategic collaboration opportunities in the broader BAM market. On Vanadium, I mentioned the sampling and analysis work that we'll do through the circuit in preparation for mic [ph] test program. We also will look at the assessment of capital reduction and flow shade optimization opportunities, and we have commenced commercial and strategic engagement with Vanadium industry participants regarding the development of potential financing options for Vanadium. Let me now hand other to David who will make some comments on finance as we conclude.
David Corr: Thanks, Shaun and good morning, everyone. As mentioned, the group ended 2018 with cash reserves of $77.1 million, a net decrease of $23.2 million during the December quarter, the original forecast cash out like of $23.6 million for the quarter. The net cash outflow from production ramp up activity and sustaining capital project at Balama, net of sales receipts and a VAT refund was $20.9 million for the quarter. A $5.6 million VAT refund was received from the Mozambique government during the quarter and this was extremely positive. It also demonstrates the continued efforts of the Mozambique government to address the challenges of VAT recovery. As at December 31, the outstanding VAT balance was $16.7 million. If we exclude the impact of this VAT recovery, the quarterly cash of Balama was higher than planned. This higher cash draw can be attributed to the product mix and the higher proportion of sales of funds product during Q4. A slower than expected realization of working capital with the improved logistics cycle times and higher sales volumes at carrying lighter than planned in the quarter and additional operating costs incurred loss recovery from the fire at the primary classified unit in October including the operation of a production bypass. The bringing forward of planned maintenance and production optimization works during the added period and other minor equipment interruptions that were experienced during December. Like on year-end exit rates and performance to-date during January 29, we are forecasting a material improvement in the cash drawn Balama during Q1 2019 with a total forecast of cash drawn of approximately $10 million, and achieving operating cash flow positive during Q2 2019 optimizing plant capacity utilization that granted them 70% and driving a unit operating costs down from $550 per tonne towards $400 per tonne during 2019. These outcomes will be driven from continued improvement in operating performance including stable and consistent production in line with forecasts, higher sales, right revenues from higher volumes, improved product mix, reduced logistics cycle times and disciplined cost management and the driving of the unit cost increases through increased production volumes and cost optimization initiatives. The change in achieving operating free cash flow to Balama from Q1 to Q2 can be attributed for the reprofiling of production forecasts into 2019. Subsequent to December 31, the company announced the declaration of commercial production for the Balama graphite operation effective from January 1, 2019. All revenues and expenses associated with the operation will now be reported to the income statement and presented as such in the quarterly appendix product base. In relation to BAM activities, $5.5 million was spent during the quarter with key items of expenditure relating to the installation of 5,000 tons per annum of milling equipment. Installation of the purification equipment to batch processing of purified spherical graphite is continuing with those production planned for late into Q1 2019. Overall, the BAM plant in Louisiana remains on schedule and within the original budget estimates of $16 million. Q1 2019 net cash outflows for the group was forecasted to be $20 million consisting of $10 million draw of Balama and US$9 million draw for BAM activities resulting in the forecast closing cash balance of approximately $57 million at March 31. We're heavily focused on the tax maintaining a strong balance sheet and continuing to manage our cash reserves to achieve operating and free cash flows at Balama and to produce unpurified and purified spherical graphite from the company owned BAM plant in Louisiana. Achieving these outcomes will place the company in extremely strong position and opens opportunities for the business to further optimize the pace of it's various strategic development initiatives. I'll now hand back to Shaun to conclude the presentation.
Shaun Verner: Thanks, David. I'll just go to Slide 28 and summarize where we've got to today. So 2018 I think provided enormous learning for us about both, our production processes and also about market behavior and the market balance. Out of that we've developed an achievable 2019 production plan which drives as quickly as possible positive operational cash flow but we remained mindful of our impact on the market. We do look forward to some significant milestones throughout the year. Firstly driving production volume and structural cost elements to lower unit our cost. Secondly, pushing our product mix and our grade and the contract mix to increase realized products with the combination of those driving to a more positive cash flow position. We also expect strongly supported market growth and quality preferences as external price drivers. We expect to see the first BAM purified spherical graphite production and initial sales of the pre-casted materials out of Vidalia in the second half of this year. We have further BAM custom in the industry direction to build out the commercial case and to develop the strategic relationships that we pursue in the BAM [ph] strength. Customer led engagement is also facilitating an increased price in both, natural graphite cooperation and in BAM development which is a really exciting position for us to be in. And lastly, our Vanadium opportunity is progressing well through a standard development process and the industry engagement around it has commenced. So we're looking forward to continuing progress and a good deal of success for the company in 2019. With that, I will move across to some questions and answers.
Operator: [Operator Instructions] So our first question comes from the line of Michael Slifirski from Credit Suisse.
Michael Slifirski: First of all, Shaun, your useful chart on Page 18 where you present the China market balance, like it becoming a net importer in this year. Help me with that place, are you assuming a consistent 450,000 tons of production over that capacity; I think you mentioned of 750,000 or do you expect that to -- I'm just wondering to understand what's driving those changes? And as the market moves from them being an exporter to an importer but delta of inland freight and VAT, do you gain some of that but you can't lose and could you sort of quantify what that delta might play [ph]?
Shaun Verner: I'll answer the second part of the question first. The expectation, absolutely, if you look at other commodities is that -- as that balance shifts the burden or the absorption of VAT and inland freight shifts from the seller to the buyer. And it's important to note that we are not -- in all cases fully carrying that burden at this point. We're chasing a range of process with Chinese brands across different segments of the market and different locations. So, there is already because of the quality differentiation some very positive pricing outcomes on that front. With regard to the market balances, there is three key factors I think that drive that China market down. First is the quality differential. And we see that that shift significantly as the lithium-ion battery demand is the key driver of growth. The second is that domestic consumption is increasing so it's placing increasing pressure on the ability of Chinese produces to export and the intended price to do so continues to increase. And as that reduction in available export capacity occurs, Syrah's direct export into China is increasing; so it's a natural shift in the balance without production and exports to China increases China's domestic consumption of it's own material due to demand growth also increases putting pressure on it's export position. As to the production from China, we're increasing domestic demand; there is no doubt that Chinese operations will push to try to produce additional material. But demand conditions are already good, and the fact that we see production around that level to spot what appears to be available capacity indicates that there are some significant challenges for the domestic producers to utilize, be theoretically available capacity.
Michael Slifirski: And I think specifically the question about say what U.S. might be between for the airfare, the inland freight and VAT?
Shaun Verner: Difference between different regions; I mean obviously the VAT16 is relatively simple part of that calculation. In [indiscernible], for example, in the north the inland price is significant talking about consumption sort of 1,000 tons in line from -- sorry 1,000 inland from the port locations in Shandong, some of the facilities there are much closer to the port. But there is a land price component.
Michael Slifirski: Can you help me understand a little bits and pieces if we're to try and derive an all and sustaining cost from your C1 estimate; say you're saying you hope by the end of the year at elevated production it will get you say 1 to 400. So question one is, what production numbers embedded in that 400 aspiration? Then to that, I guess we add royalties, we know that's 3%. What do we have to add for flight; is that still sort of around that $60 a ton? And I think in the past you've talked about corporate overhead of items, the sustaining capital I think you've identified as $10 to $15; is there anything else we need to think about in terms of an all in sustaining cost?
Shaun Verner: It's basically -- the only comment I've made is that the average freight cost that we're seeing, given the mix of destinations at the moment is lower than $60. It's probably more in the range of $45 to $50. And we expect that that freight cost will probably sit around that level through the cost of this year. In terms of the volume; our production volume embedded in the assumption of getting towards $400 by the end of the year it's around that 250,000 ton level.
Michael Slifirski: So, for example, December quarter at an annualized 250; is that what you're suggesting or just -- I'm trying to understand the math because if you're doing 250 for the full year but less in the first part, you're ramping up to 254 or you're saying it's not going to be -- so the exit right against 400 must be high than to...
Shaun Verner: That would be higher than an annualized 250.
Michael Slifirski: Can you sort of indicate what the assumption might be for that?
Shaun Verner: We haven't given guidance around that at this point but I think what's important to think about on that front is that the production plan shows a moderate increase in recoveries month-on-month. Primitively that doesn't have a big step up at any point in time from the 70% that we're at now towards our target of 88%. And the way that were profiled that production plan compared to what we achieved through the end of last year, we feel confident around that profile. But we're not giving specific guidance about what the December exit price is going to look like at this stage but it's a fairly smooth ramp up between Q1 through to Q4.
Michael Slifirski: The supply chain performance, the inventory that's now resolving; as ramp up production to that high rate ramp up exports, has the supply chain evolved with it? So are you confident that the whole inventory issue is now fully resolved or is it yet to be tested by production rate?
Shaun Verner: Certainly, it's an ongoing process. But both, December and January will see that the sales and shipments significantly exceeded the production rate; so the supply chain is Chinese performing well but it's an ongoing process to continue to drive through that capability in a consistent manner. What we have seen is that at every point in the China we're seeing performance in excess of what we need even to running the plan at full capacity. The trick here is really around getting that consistency of that performance on an ongoing basis.
Michael Slifirski: The vanadium study that you've updated -- what's the best case project there? Is that to produce that lowest grade concentrate or to go to produce something a little higher?
Shaun Verner: It's exactly the same product as was contemplated in the 2014 study. So to ramp up 1,000 tons of finished product; production roughly split 50-50 between the standard price and high grade product. We're happy to provide -- to go back and look at that at a later point.
Michael Slifirski: And finally, the funds coarse split the 80-20 versus aspirational 70-30; so just trying to understand the 80-20, is that a function -- it wasn't clear to me. Is that a function of the geology you're in? Is it a function of flake destruction by the plant or is it a function of the market demand or is that all three?
Shaun Verner: I'll Julio comment in a moment but I think the starting point is that the production plan in the first year was very much driven around volume and carbon grade. So it was like to funds ratio was very much the third factor that was being considered. So as we've started to lift the volumes and achieve the grades on an ongoing basis, we now turn our focus to improving the cost funds ratio. Julio, do you want to make any further comments there?
Julio Costa: Yes, very quickly. So what -- in terms of what we see in the plant now in the structure, there is a minor opportunity to improve the disruption and optimization. The plant however, as we look at [indiscernible] and the geology in the mine, as you know a bit more, it's quite clearly a better way to plan -- that to maximize the feed into the plants to increase the coarse flake. So, certainly very confident can go beyond that, it's just a question to the mine blending and then maintain the improvement on the structure again and flotation.
Operator: Our next question comes from the line of Reg Spencer from Canaccord.
Reg Spencer: Just a couple of very quick ones for me. Firstly, you mentioned the unfulfilled 2018 contracts and the possible impact that might have on pricing in the initial part of 2019. Can you tell me what the volume of that might be? And where the dominantly find the course?
Shaun Verner: The predominance in all of our contracts in '18 was around funds. So the majority of the rollover is in the fund space. We're not talking about the specific volume that is rolling over into '19, I think there is some sensitivity around the commercial negotiation position that that put us in. Surpass to say that within the first half of the year those contracts will be fully completed.
Reg Spencer: Secondly, I'm just looking for some guidance on longer term development plan, the BAM. I know in the medium-term what is subject if the Act comes, your ongoing review, your feasibility study. Do you guys plan to believe the outcomes of that study at some stage or will that be subject to internal review and you'll release the results of the reviewed study? I'm just trying to get a feel for sort of longer term timelines CapEx/OpEx all that kinds of things given the material -- the materiality if that part had a business to the overall company?
Shaun Verner: I think the first point I'd make there is that you want the feasibility study released in the same way that you see a mining project feasibility study relates. And two specific reasons for that; one is that the market is obviously a much smaller market with fewer players, and the alignment in that market around specific products and the pricing of those products is more sensitive than it is in a commoditized environment. And secondly, I think there is particular product specification and product development information which is not something that we necessarily want to relate. So what will be released at the appropriate point in time will be a review but not to the same extent of what you would say in a mining project, for example. I think the other key point for us is that we recognize fully that it is a significant part of the future development of the company and the potential value of the company, and as such, we will work and continue to work to optimize the position around the development of BAM until such time as we have position that we are comfortable with in bringing forward for an investment decision to the board. And the two key aspects of that at the moment are really around the customer product specification and the opportunities to optimize the products and prices that we've reduced. And secondly, on the capital cost elements of the thermal treatment out of the plant; carbonization and graphitization.
Operator: Our next question comes from the line of Glyn Lawcock from UBS.
Glyn Lawcock: Shaun, I just want to try to take a little bit of time to look at Slide 23. I assume that's one way you talk about 70% capacity sort of make the market, and from a pricing trade-off perspective. Shouldn't that just pertain to 2019? But also just curious, if you look at the market growth you're saying it's 10 to 12 or 8 to 12 that's -- but you're going to go from 100 to 250; so you're adding almost double what the market will take. So does that mean the pricing you're getting in the first half is probably indicative, I know you're saying it trends higher but it feels like you're going to be trying to put double on what the loan growth is for this year. Just wondering if I'm missing something.
Shaun Verner: Regarding two things; the chart we've tried to put in there is an indicative chart around where the majority of margin improvement exists through the course of this year. So obviously with a large plant at Balama, the most significant impact we can make on margin in the first instance is bringing down that unit cost by increasing volume. That -- beyond about 70% capacity we see this year and you write these analysis for this year. But the potential for the market impact and processing impact is more significant; so that's why we're balancing that production and sales point around that 250 target. On the second aspect, it's such a challenging position because there is so much speculation about what Chinese production is, and the actual production versus the capacity of production. That way we are focusing our attention is very much on the differentiation of stability of our production and the higher quality, lower impurities of our material. So whilst there is a theoretical mismatch in terms of the overall tonnage, we see significant differentiation between the qualities of product demanded, and as I said during the presentation particularly, into the lithium-ion battery segment. So those elements that we've outlined as potential process increase in mixes [ph], we have a good degree of confidence around the first three or four of those because they are internally controllable elements which improve our product mix, our grade, and the allocation of our material contracts. The second aspect in terms of the overall market balance is going to be determined very much by the processing of high quality funds versus the low quality material, and at the moment we're talking about the potential differentiation from 92% funds all the way through to high grade funds that we seek to produce. So, we still say that there is a significant potential for improvement in that process through the course of the year.
Glyn Lawcock: And then just the second question, you declared commercial production, and I guess in a lot of the operations now sliding to Q2 for positive operating cash. Are there any benefits other than I'm now going to get a full P&L to the next result? Is there any benefit to declaring commercial production this early when I guess we're still only based on the first half or first quarter of 40,000 to 45,000 tons; we're only under 50% [indiscernible]. I just want to know what are the benefits that come of declaring commercial production? Thanks.
Shaun Verner: I think it's much a commitment to our external communication on how this business is run and what the key components of it are, and in fact, that we had achieved at various points through Q4 the factors that we outlined in terms of making that declaration. It's an interesting one because it's not a situation where we expect to run at full capacity or demonstrate long period of full capacity before we make that declaration. So there is no major benefit, in fact, the visibility of basket [ph] pricing obviously is something that a non-public listed company doesn't have to deal with in terms of it's negotiation, position. So there are some downsides to it but we feel it's important that there is a full visibility of the key aspects of operating the business and factors for success going forward.
Glyn Lawcock: Any comments you can make on that illusive debt facility? And that we sort of -- the thing is swinging in your favor at all?
Shaun Verner: I think the key person on a debt facility is demonstrating stability and consistency in the business than the operational cash flows that would be required to service that. So the progress the we're making is something that's well regarded in the conversations that we're having but it's also something that we need to continue to demonstrate probably at this point.
Operator: Our final question comes from Rahul Anand from Morgan Stanley.
Rahul Anand: Just to see one cash operating guidance trending from $550 towards $400 over 2019. So is it fair to say that $400 is the average rate for 2019 or is that an exit rate?
Shaun Verner: That's certainly the right way to targeting for the end of the year, it's not the average for the year. And as we've said earlier, the key determinants for that is going to be the volume increase through the course of the year.
Rahul Anand: And then sort of moving to a bit of the big picture stuff. Obviously, I mentioned off the 750,000 ton brand and capacity and utilization being at over 60% in China. First question is around -- have you seen the actual production out of China increase or decrease in calendar year '18 at that $450?
Shaun Verner: We think it's been fairly stable this year, and the reason we say that is having a look at the implied growth from the battery sector, having looked at how much material we have delivered into China this year. And the fact that there has not been a negative impact on crossing through that we believe that the production level in China has been fairly stable through '18.
Rahul Anand: And in terms of the other 40% capacity that sort of sits on the books so to speak. I mean, how should we think about this? Is there a possibility for this to comply going forward in terms of environmental standards or do you have any insight into what's the nature of these sort of offline facilities that constitute a pretty big portion of the market in terms of potential?
Shaun Verner: Look, I think about it fairly simply and if they had an attractive product in the cost base which supported selling the material to be in the market. So, clearly not something that's occurring at this point in time. And if you look at the broader picture on production capacity -- on actual production in China, it has been declining through the last four to five years. So, whether this is a hangover what was theoretical capacity, grades were higher or not, it is still to be examined but it's not something that at this point given the product mix in the grades that we are producing that convinced me particularly.
Rahul Anand: So I guess what I'm hearing is that it's probably more an economic, not a regulation related reason that that 40% is out of the market?
Shaun Verner: I think the combination of both is no doubt that the environmental restrictions have ceased or reduced production at a number of facilities. And at the same time there is definitely cost cutting [ph] elements to it. Thank you all very much for the attention. I understand that there is a fair bit of new information that's been provided today. So, hopefully that is something which is useful in terms of building out the picture for the company and we look forward to further engagement through the coming months. Thank you all very much.
Operator: Thank you so much. So ladies and gentlemen, that does conclude the call for today. Thank you so much for your attendance. You may now disconnect.